Operator: Good day, everyone, and welcome to Guardian Pharmacy's Third Quarter Earnings Call. [Operator Instructions] I will now hand the call over to Ashley Stockton.
Ashley Stockton: Good afternoon. Thank you for participating in today's conference call. This is Ashley Stockton, Senior Director of Investor Relations for Guardian Pharmacy Services. I'm joined on today's call by Fred Burke, President and Chief Executive Officer; and David Morris, Chief Financial Officer. After the close today, Guardian posted its financial results for the quarter ended September 30, 2025. A copy of the press release is available on the company's Investor Relations website. Please note that today's discussion will include certain forward-looking statements that reflect our current assumptions and expectations, including those related to our future financial performance and industry and market conditions. Such forward-looking statements are not guarantees of future performance and are subject to risks and uncertainties that could cause actual results to differ materially from our expectations. We encourage you to review the information in today's press release as well as in our quarterly report on Form 10-Q to be filed with the SEC, including the specific risk factors and uncertainties discussed in our SEC filings. We do not undertake any duty to update any forward-looking statements, which speak only as of the date they are made. On today's call, we will also use certain non-GAAP financial measures when discussing the company's financial performance and condition. You can find additional information on these non-GAAP measures and reconciliations to their most directly comparable GAAP financial measures in today's press release, which again is available on our Investor Relations website. And now I will turn it over to Fred for commentary on the quarter.
Fred Burke: Thank you, Ashley, and good afternoon, everyone. Thank you for joining us as we review another strong quarter for Guardian. Before diving into the details, I want to take a brief moment to reflect on how far we come. This quarter marks an important milestone, our first full year as a publicly traded company. A little over a year ago, we stood on the floor of the New York Stock Exchange to ring the bell, not as the culmination of a journey but as the beginning of a new chapter in the 20-plus year life of our company. When we went public, we made a commitment to continue to execute with discipline, grow with purpose and carry forward the entrepreneurial spirit that has always defined Guardian, all while earning the trust of our new shareholders along the way. I believe that thus far, we've delivered on that promise, and I'm very proud of what our team has achieved. As I look ahead, I'm even more energized by the opportunities in front of us to continue building a company that provides exceptional service to our communities and the residents they serve, creates value for our partners and deliver sustainable long-term growth for our shareholders. With that foundation in mind, let's turn to our third quarter performance, which marked another period of strong double-digit growth across revenue, resident count and adjusted EBITDA, which yielded adjusted EPS of $0.25. Revenue grew 20% to $377 million, a top 13% resident growth driven both organically and through acquisitions. Adjusted EBITDA grew 19% to $27 million, with margins holding steady at 7.2%, including the continued dilutive impact from recent greenfields and acquired pharmacies. Given the strength of the quarter, we are raising full year revenue and adjusted EBITDA guidance, which David will go over in detail later in the call. Now turning to the policy environment. The unintended consequences of an Inflation Reduction Act remain an issue for our industry as a whole. Consistent with our long-standing approach, we're working closely with our peers and trade group to advocate for legislative and policy solutions that address these impacts and support the long-term stability of our sector. But at the same time, we've continued to take proactive steps with our payers. Those initiatives are taking shape and combined with other strategic actions across the business, we are growing ever more confident in our ability to offset the anticipated EBITDA headwind, even as reported revenue growth is expected to remain relatively flat in 2026. Our philosophy on addressing policy issues remain simple, control what we can and navigate thoughtfully around what we cannot. It's becoming increasingly clear how important the right people and scale are to executing successfully through these challenges, and that same mindset, disciplined, proactive and grounded in leadership extends across our organization. To that end, our pharmacy entrepreneurs fuel our growth with ingenuity and commitment to the clients we serve and the specialized teams supporting them strengthen our platform every day from purchasing the PBM contracting to data analytics, to name a few. Most of our pharmacy leaders have been with Guardian for more than a decade, some going on too. Prior to joining, they were highly skilled clinicians who built successful independent pharmacies from the ground up entrepreneurs in their own right. They recognize the opportunity to combine their local expertise and community relationships with the strength of Guardian's national platform and scale, unlocking new levels of performance and profitability within their pharmacies. Many have since built on that success launching greenfield locations in adjacent markets. Guardian has continued to invest in these professionals, helping them deepen their business acumen. Today, they are exceptional operators who embody a rare combination of clinical expertise, entrepreneurial drive and business-minded execution. That blend is central to our model and underscores why selecting the right local leadership teams is so critical, and why we remain highly selective and targeted in our acquisitions. Collectively, our operators have helped propel us to be the clear leader in serving assisted living facilities. While our national market share is 13%, we have a much stronger presence in the markets where we operate. In fact, 37 of our pharmacies have 20%-plus market share with 12 pharmacies operating at over 40%. Additionally, we now serve nearly 204,000 residents, the vast majority in ALF. Looking ahead, we expect to benefit from powerful demographic tailwinds as the aging population grows, while continuing to gain share through new facility partnerships, higher resident adoption and greenfield expansion with the help of our existing operators. At the same time, at the corporate level, we'll continue to pursue targeted acquisitions such as the recent additions in Oregon and Washington, which put us on the map in the Pacific Northwest and answered demand from our national customer partners. Integration with both pharmacies is tracking as expected with both teams already onboarding facilities operated by our national customer partners. Over time, we expect this geographic area to become an important growth contributor. On the heels of these acquisitions, our pipeline continues to be very attractive and active. Furthermore, as the assisted living facility market continues to consolidate, we believe Guardian scale, sophistication and partnership-driven model positions us as the provider of choice. Looking back, we've accomplished a lot in the last year. We've expanded our pharmacy footprint, delivered consistent financial performance, strengthened our balance sheet and deepened relationships with a broader investor base. Internally, we've enhanced our infrastructure and continue to navigate policy-related headwinds. Together, these accomplishments give us confidence as we enter our second year as a public company, stronger and better positioned for the opportunities ahead. Our priorities remain clear: drive organic growth through new customer facility wins, higher adoption and greenfield expansions, expand our network through disciplined acquisitions aligned with our culture and vision, enhance profitability by integrating new pharmacies, implementing our technology advantages and leveraging procurement, reimbursement and logistics efficiencies and lastly, navigate policy changes thoughtfully with confidence and discipline, advocating for fair outcomes while managing risks proactively. These are the same levers that have propelled Guardian's growth for over 2 decades, but today, enhanced by greater scale, visibility and financial flexibility. So on that note, happy birthday Guardian. We're still early in our journey as a public company, but our foundation is strong, our strategy is clear and our momentum is real. With that, I'll turn the call over to David Morris, our CFO, who will take you through the quarter's financial results and outlook in more detail.
David Morris: Thank you, Fred, and good afternoon. Before I begin with a review of our 3Q results, I wanted to quickly mention the recent shelf S-3 filing and lockup agreement we announced in mid-October. Having been a public company for a year now, we recently became eligible to file an S-3 Registration Statement. As such, we filed an S-3 Shelf Registration for up to an aggregate 6 million shares, which has since become effective to provide flexibility to efficiently access the public markets if and when needed and subject to market conditions. In conjunction with that filing, we also announced that we work with our pre-IPO shareholders to lock up approximately 93% of the shares until June 30, 2026. There are no immediate or specific plans to offer securities pursuant to the shelf registration. We view the shelf as a tool for financial flexibility rather than a near-term catalyst, and we will continue to take a disciplined, long-term approach to capital markets activity. Turning to the financial results. I'm pleased to announce another strong quarter for Guardian with adjusted EPS of $0.25. Revenue grew 20% to $377.4 million, reflecting mid-double-digit organic revenue growth. Total resident count ended the quarter at 203,766, up 13% versus a year ago. Upside in revenue this quarter came from several areas. First, a higher percentage of new residents joined early in the period, providing a full quarter benefit. Second, plant optimization efforts continue to perform well, improving coverage for residents while reducing co-pays. Third, vaccine activity was strong as many communities launched their clinics earlier in the season. And finally, acquisitions contributed meaningfully with a full quarter of revenue from Washington and 2 months of contribution from Oregon. This pharmacy is a great strategic fit for Guardian, bringing on board an experienced leadership team with a strong reputation for service excellence. Alongside our operations in Washington, this expansion gives us a solid foothold in a new growth region, the Pacific Northwest. Gross profit increased to $74.7 million, posting a 19.8% margin. Adjusted SG&A was 13.7% as a percentage of revenue. Adjusted EBITDA rose 19% to $27.3 million, which included pubco costs of $1.3 million that we didn't have in the prior year. Adjusted EBITDA margins held steady with the second quarter at 7.2% and was down roughly 10 basis points year-over-year, reflecting the dilutive impact of recent acquisitions and greenfield startups along with pubco costs that weren't included in last year's results. Underlying core margins continue to expand as we see stronger profitability from pharmacies that are now maturing within our network. Our 4- to 5-year locations are performing at or above our consolidated adjusted EBITDA margin and our 2- to 3-year locations are tracking steadily toward that same level. As I've mentioned before, our most recent acquisitions, those made in the last 2 years, are still dilutive. Without them, margins will be closer to 8%. Given the upside in the quarter, acquisitions year-to-date and the overall momentum of the business, we are raising our 2025 guidance. Revenue is now expected to be in the range of $1.43 billion to $1.45 billion, up from our prior range of $1.39 billion to $1.41 billion. We are also raising our adjusted EBITDA guidance to $104 million to $106 million, up from the previous $100 million to $102 million range. The midpoint of this range represents solid 16% growth year-over-year. A couple of reminders for Q4. Starting with SG&A, we expect it to trend slightly lower as a percent of sales in the fourth quarter consistent, but the seasonal revenue lift we typically see from vaccine activity this time of year. Stock-based compensation is expected to decline meaningfully in Q4 to approximately $1.1 million as we sunset the pre-IPO equity program-related expense. Finally, reported income tax expense was elevated at 42% this quarter, which is higher than the previous quarter, primarily due to nonrecurring income tax expense associated with the corporate reorganization and related to the IPO from 2024. We expect the fourth quarter tax rate to be in the high 20s and step down to the mid-20s in 2026. Turning to the balance sheet. We ended the quarter with $36 million in cash, an increase of $18 million, even after funding our Oregon acquisition. This performance highlights the strength of our cash generation, with the cash conversion continue to track above 60%. We remain in a very strong financial position with no debt outstanding under our credit facility and ample liquidity to fund ongoing strategic growth, including M&A with internally generated cash flow. Our acquisition pipeline remains very active, and we continue to take a disciplined approach, prioritizing the right local operator in markets that enhance our regional density and national scale. In closing, on our first anniversary as a public company, I want to echo Fred's thanks to all of our employees and shareholders. We're proud of the momentum we've built, and we are confident in our ability to continue executing on our strategic growth plan. Guardian was built pharmacy by pharmacy, relationship by relationship and that's exactly how we'll continue to grow, anchored in local leadership powered by our national scale and with an unwavering commitment to service.
Ashley Stockton: Operator, we'll now open the line for questions.
Operator: [Operator Instructions] Your first question comes from the line of John Ransom from Raymond James.
John Ransom: So just a question about the fourth quarter. How would you compare the contribution of the vaccine program this year to last year? I think this is what the third year you've done it and I'm sure you learn a little something every year. But the backdrop is interesting because there's a little less vaccine uptake among the greater world, especially COVID. But I'm just curious kind of what you're seeing with your population, how the uptake looks and just how the program overall compares to what you did last year, which was also very successful?
Fred Burke: John, Fred here. Did I hear you say, third quarter or fourth quarter?
John Ransom: Fourth quarter. So in your implied guidance, what's going on with your vaccine program this year compared to last year?
Fred Burke: It's steady as we go. You did mention an interesting anomaly that we wondered about, which is the CDC guidance potentially could have caused fewer people to want to be vaccinated, particularly COVID. We are not seeing that. It's steady as we go. However, I will comment that we started the clinic season with a stronger September this year than last. So some of the total perhaps has been pulled forward into Q3.
John Ransom: Okay. And as we think about resident count, it looks like you're only missing one month of an acquisition. So this resident count is a pretty good placeholder for 4Q with a little bit of one month of that one acquisition.
Fred Burke: That's correct. Generally, we measure residents served as of the end of the quarter. So the acquisitions that were completed recently are included in the Q3 number. And so recognize that we do see fluctuations quarter-to-quarter, particularly in Q4 as some loved ones are reluctant to move their mother or father into assisted living in certainly the November, December period. So I would expect to see steady as we go in Q4 on resident count.
John Ransom: And just last for me. I know you hit on the IRA issue and the conversations with the PBMs. Using the baseball analogy, how close are you to wrapping up these negotiations and kind of putting a bow on this issue?
Fred Burke: John, as you know, these are very sensitive discussions, literally covered by NDAs. So I don't want to comment on specifics with respect to the PBM negotiations other than to reiterate what I said before, which is they're taking shape, and we're growing ever more confident in our ability to offset the headwind.
John Ransom: And Fred, we've talked about this before, but is there any more -- it's always interesting to me like some industries, the payers are more willing to give providers some bogeys that would result in upside to their -- and as we know, you're paying a dispensing fee and you paid a spread. But is there any more indication that they might be -- especially with all the issues going on with Part D and more Part D plans embedded in MA and sensitivity around Part D losses, is there any more chopping of wood -- that's a bad expression, but is there any more kind of fulsome discussion around, "Hey, look guys, why don't we throw in an upside kicker for X or Y?" Or is it still just kind of mechanically the same in terms of just dispensing fee and spread?
Fred Burke: Well, we, at Guardian, as having mentioned before, are very willing to think about value-based models because we're very comfortable in the value that we are providing to their insured lives. But it's evolving. There's not a major shift, but each is interested in exploring this idea as are we. So we're working our way towards that, but it's an evolution.
John Ransom: So the normal glacial pace of health care is still -- we'll think about it next year.
Fred Burke: One Georgia boy to another, we'll keep chopping that wood.
Operator: Your next question comes from the line of David MacDonald from Truist.
David MacDonald: Just a couple of additional ones. One, can you guys spend just a quick minute on some of the areas where, from a margin standpoint, if I just look at the amount of acquisition activity that you've had and just kind of the impact in terms of margins as those come on, any couple of key areas that you would flag in terms of where you've done better to continue to maintain those flattish margins despite the meaningful M&A activity?
David Morris: David, it's David. We've talked about the various cohorts that I mentioned in the comments, our 4- or 5-year cohorts are performing well ahead of our overall margins and the 2- or 3-year cohorts are coming along as well. And we have a substantial investment we've made in the last 18 to 24 months in 11 locations, probably greater than 10% of our overall revenue that are a drag on our overall EBITDA margin. So it takes on average 4 years to get these businesses up to performing where they need to be and some are performing quicker and better and some take longer. So I think it's pretty much steady as she goes. And we're pleased with all the various businesses and where they are in the various cohorts. So it's pretty much steady as she goes.
David MacDonald: Okay. And then just one other quick follow-up in that same vein, when you think about the pipeline, it sounds like there's still a fair number of opportunities sitting in front of you. How do you think about pacing, I guess, on 2 fronts. One, just the margin impact as they come on, but also, number two, just are there any kind of operational bottlenecks internally in terms of how many of these things you want to take on at the same time?
David Morris: Yes. I think we've talked about in the last 24 months, things have been accelerated specifically with the large Heartland acquisition at 4 locations. So I'm not sure we can set expectations to continue at that level. But the pipeline is robust. And as I said, very active, and we see '26, '27 us continuing our similar type approach. We have many contiguous startups that we're looking at as well as an active pipeline. So no real bottlenecks that would impact us being able to continue to execute much as we have this past year.
Operator: Your next question comes from the line of Raj Kumar from Stephens.
Raj Kumar: Maybe just kind of touching on the implied 4Q here. It seems like the dilutive impact to margins is slightly accelerating. So maybe just kind of want to get your thoughts on if that's conservatism or kind of anything to call out on that front?
David Morris: Raj, it's David. I think our adjusted EBITDA margins were forecast to remain relatively steady. And the biggest impact there would be the investment that we've made over the last 12 to 18 months, depressing overall margins. I think the Q4 will tick up slightly because of the seasonality with the vaccine clinics.
Raj Kumar: Got it. And then maybe just as a follow-up. I appreciate the commentary on the mature pharmacy kind of margin. Maybe just kind of thinking about what the ceiling or the kind of theoretical ceiling is there from a margin perspective? And kind of also thinking about one of your mature pharmacies, what kind of the available expansion capacities to those pharmacies as we think about that helping out in this overall high single-digit organic revenue growth framework they kind of laid out long term?
David Morris: We've talked about the impact that our investment in the contiguous start-ups and acquisitions has on overall margin, it's plus or minus 80 basis points. And where can the business be, say, in 24, 36 months or even longer? We hope to continue to optimize these acquisitions, that's going to enhance our overall margin. We're going to leverage the platform that we've built, not only in each pharmacy where we're not to full market share but also leverage our support infrastructure. So 8% higher, we're going to be working on that every day, every quarter. But hopefully, we'll see things continue to improve.
Operator: [Operator Instructions] Your next question is a follow-up from John Ransom from Raymond James.
John Ransom: Just going back to the fun topic of Medicare Part D, as you no doubt know, there's a lot of turmoil in the market. There's fewer stand-alone Part D plans. There's more MA-PD plans. And I just wonder how does Guardian look at that? And your plan optimizer tool, are you seeing more switching within your residents? Is it creating more kind of churning behind the scenes? Or is it not something that's risen to the level of something that you've noticed?
Fred Burke: I'll start on that one, John. It's very early in the process because the details were late in coming this year. So the big effort is underway as we speak, and we'll know more as we move through the next few weeks.
John Ransom: Okay. And do you -- I'm sorry, do you have a general preference for stand-alone versus MA-PD or do you care?
Fred Burke: We're relatively agnostic. We want to help the residents find the best plan for their particular situation in their drug regimen.
John Ransom: Okay. And if you all noticed anything kind of different. I was just looking at some numbers that suggest some small moves. But has there been any change to point out in terms of the mix of brand versus generics or the mix within brand? And I know you're not real levered to expensive biosimilars. But is there anything to call out in the average drug consumption this year versus last year? And does that -- is that bigger than a breadbox for you?
Fred Burke: We've mentioned in previous communications that we see increasing levels of acuity, which manifests itself with greater utilization of some of these brands, and that has continued. It's -- I would call it just steadily -- a steady growth in acuity. Obviously, that is also greatly impacted by resident mix this being a market where our residents are turning over. So it can fluctuate quarter-to-quarter, year-to-year depending on that. But in general, these residents that we serve have a high acuity level.
John Ransom: And the fact that the whole Part D deductible and out-of-pocket max has changed, are you noticing that in a shift to the plans being more in the hook in the fourth quarter? Are you seeing any kind of change versus last year when that wasn't the case?
Fred Burke: We have not, and I'm surprised at that. Perhaps, it may take more than 1 year.
Operator: Thank you very much. There are no further questions at this time. This concludes today's conference call. Thank you very much for your participation. You may now disconnect.